Operator: Good morning, ladies and gentlemen. Welcome to the Group 1 Automotive's Second Quarter 2025 Financial Results Conference Call. Please be advised that this call is being recorded. I would now like to turn the call over to Mr. Pete DeLongchamps, Group 1's Senior Vice President, Manufacturer Relations and Financial Services. Please go ahead, Mr. DeLongchamps.
Peter C. DeLongchamps: Thank you, Nick. Good morning, everyone, and welcome to today's call. The earnings release we issued this morning and the related slide presentation that include reconciliations related to the adjusted results we will refer to on this call for comparison purposes have been posted to Group 1's website. Before we begin, I'd like to make some brief remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the conference call, statements made by management of Group 1 Automotive are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve both known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks include, but are not limited to, risks associated with pricing, volume, inventory supply, conditions of market, successful integration of acquisitions and adverse developments in the global economy and resulting impacts on demand for new and used vehicles and related services. Those and other risks are described in the company's filings with the Securities and Exchange Commission. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, the company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. Participating with me on today's call, Daryl Kenningham, our President and Chief Executive Officer; and Daniel McHenry, our Senior Vice President and Chief Financial Officer. I'd now like to hand the call over to Daryl.
Daryl Adam Kenningham: Good morning, everyone. Our U.S. performance was excellent in the second quarter, and our U.K. team is navigating the integration of operations while growing our business in a challenging U.K. market backdrop. Our adjusted net income from continuing operations improved 12.4% in the quarter and EPS improved 17.5% on the same basis. Starting with our U.S. business. New car sales were up 6% on a same-store basis, outpacing the industry. Our PRUs held up versus the second quarter of 2024, and they were up $211 sequentially. Our inventories were flat versus the quarter and down nearly 15% compared to the end of 2024. And days supply is healthy at 48 days. Our used car volumes were up nearly 4% year-over-year and gross profits were up $29. Our F&I performance in the quarter was very solid as well, up $90 per unit. And our aftersales business is an area we continue to invest in and believe still has a great deal of opportunity. In the quarter, our aftersales gross profit was up 14.3%. Customer pay revenue was up 13.6% and warranty up 31.9%. While we certainly benefited from an easier comp versus the June 2024 CDK event, our aftersales business was strong throughout the quarter. Our May quarter-to-date performance saw CP revenues up 10.2% and warranty up 28.7%. And we saw an 8% increase in same-store RO count for the quarter. And we continue to believe that the potential of the aftersales business warrants additional investment, and we've continued forward on this front. Our flexible scheduling, all-day, Saturday focus improving and technician productivity give us significant physical capacity to increase aftersales business in our existing dealerships. And by the end of 2025, 90% of all Group 1 technicians in the U.S. will work in an air-conditioned shop. It's a boost to productivity, employee retention and technician safety. We're also evaluating our collision footprint and repurposing capacity as that segment of the industry continues to decline. Lastly, we increased our technician headcount by 6% in the U.S. on a same-store basis. And we've continued our branding efforts in the U.S. A number of our dealerships will be rebranded with the Group 1 name. This project, when combined with our integrated marketing and customer data efforts will open opportunities across our footprint. It's important to note that we continue to believe that the retail automotive business is a local business, and that's where we'll put our emphasis. We've learned a great deal about this rebranding from our U.K. business where all of our dealerships are already branded with the Group 1 name. There remains movement in the new administration's policies and uncertainty for U.S. trade partners, automotive retailers, OEMs and consumers. And we continue to see demand across all lines of service and are focused on remaining operationally agile. However, we are being somewhat cautious moving forward. Expectations remain that new and used vehicle GPUs could elevate a bit as inventories tighten from imposed tariffs. We have deferred certain capital expenditure projects and have reevaluated some discretionary spending. We also have contingency plans in place should we see a marked change in the competitive environment. That being said, we are taking advantage of our strengths during this time by refocusing our efforts on improving productivity. We recognize our consumers are under pressure from car prices and other costs, which have outpaced wage growth and higher interest, virtually double the rates we saw just a few years back. And I'll speak more on these efforts shortly. Now shifting to our U.K. business. The U.K. business was managed well compared to the broader market, which continues to face macroeconomic challenges such as weak economic growth and inflation levels exceeding the Bank of England expectations. We recognize that our customers in the U.K. share many of the same adverse economic impacts as our U.S. customers. There's also a drag on gross profits due to the bad mandates in the U.K. However, the U.K. government did announce subsidies of up to GBP 3,750 on BEV vehicles. This is a great first step. In terms of our costs in the U.K., without the benefit of a plate change in the second quarter, our SG&A percentage of gross rose to 84.3%. We also absorbed some new government required costs for insurance and wages. And we continue to work on our cost structure in the U.K. and Daniel McHenry will have more to discuss on this topic. We're seeing the benefits of continued progress on our process alignment in the U.K. and cost reductions. We performed well in used vehicle volumes, and we also added 8% more technicians, driving a customer pay increase of nearly 8% in our U.K. business. And our F&I PRU in the U.K. was up 27% in the quarter. This quarter, we also marked a major milestone with the opening of our new U.K. headquarters in Milton Keynes, centrally located with strong transport links and proximity to key OEM partners like Mercedes-Benz and the Volkswagen Group. The site reflects our deep commitment to the U.K. market, our employees and our manufacturer partners. I'm incredibly proud of the work our U.K. team has done and we're confident Group 1 U.K. is well positioned for long-term growth as a leading force in the U.K. motor trade. Now shifting to capital allocation. We acquired 3 dealerships in the quarter, further strengthening our partnership with Mercedes- Benz, Lexus and Acura. These dealerships expand existing footprints in Austin, Texas and Fort Myers, Florida, adding more scale in these proven markets consistent with our cluster strategy. We're consistently balancing acquisitions and dispositions with repurchasing our shares. In the first half of 2025, we bought back 3% of the company for $167.3 million. And we will continue to optimize our portfolios in the U.S. and the U.K. Since the beginning of 2023, we bought assets generating $5.4 billion in annual revenue and disposed of assets generating $1.3 billion in revenue. We will continue to be acquisitive, but we are also being very disciplined in valuing acquisitions, engaging only in deals that we feel provide long-term value for Group 1 shareholders. And let me close with a word about the future. Our belief is that in the future, those retailers who can drive scale, productivity and lower cost per transaction will be the winners. Our customers can no longer simply absorb higher pricing and in turn that will create margin pressure. We're committed to lowering our transaction costs through productivity gains by increasing our use of technology, first-party data and process improvements throughout our enterprise. We're making investments in technology to improve our customer experience and drive industry-leading productivity. We believe artificial intelligence has the capability to improve our business, including elevating the customer experience within the sales and service processes, utilizing robotics to automate operational functions, transaction processing and analysis. With AI, we can connect with and interact with our customers any time they want to do business. We're testing some very exciting things, which will help us elevate the customer experience at Group 1. And now I'd like to turn the call over to our CFO, Daniel McHenry, for an operating and financial overview.
Daniel James McHenry: Thank you, Daryl, and good morning, everyone. In the second quarter of 2025, Group 1 Automotive reported quarterly record revenues of $5.7 billion, quarterly record gross profit of $936 million, adjusted net income of $149.6 million and quarterly adjusted diluted earnings per share from continuing operations of $11.52. Starting with our U.S. operations. Revenue growth on an as-reported and same-store basis occurred across all lines of business over the comparable prior year quarter. Notably, parts and service revenues reached a quarterly high, increasing 11.7% and 12.8% on an as-reported and same-store basis, respectively. Over the prior year comparable quarter and F&I revenues reached a quarterly high of $199 million. We experienced higher new vehicle units sold in an as reported and same-store basis of 4.6% and 6%, respectively, over the comparable prior year quarter. This reflects the resiliency of demand and our operational execution and the value generated from the ability to drive incremental volume through our dealership acquisitions. At the same time, volumes increased, we saw prices increase by 1.5% and 1% on a reported and same-store basis, coupled with a slight decline in GPUs of 0.3% and 0.9%, respectively. The higher volume more than offset the lower GPUs and contributed to an as- reported and same-store gross profit increases of 4.3% and 5%, respectively, versus the prior year comparable period. Used vehicle revenues were the third highest quarter on record and volume in the second quarter was 11 vehicle shy of the quarterly record, growing 2.7% and 3.9% on an as-reported and same-store basis versus the prior year comparable period, respectively. GPUs were also up, increasing $25 and $29 on an as-reported and same-store basis. Our processes, discipline and use of technology with pricing of used vehicles helped create this gross profit growth while driving volume against higher prices versus the prior year comparable period. Our second quarter F&I GPUs of $2,465 was just $3 off the quarterly record high and is up $104 and $90 on an as-reported and same- store basis versus the prior year comparable period, respectively. Our performance by our F&I professionals has been outstanding to maintain GPU discipline and drive product penetration. Shifting gears to aftersales. Aftersales revenues had double-digit increases of 11.7% and 12.8% on an as-reported and same-store basis, respectively. These revenue increases, coupled by slight margin increases generated growth in gross profit of 13.1% and 14.3% on a reported and same-store basis, respectively. Same-store customer pay and warranty revenues comprised of 72.2% of same-store aftersales revenues for the second quarter versus 69.1% for the prior comparable quarter. Customer pay dollars per RO increased 7.4% over the prior year, reflecting the aging U.S. car park and increasing prices partly due to higher prices from tariffs. Warranty work is up for Toyota, BMW and Honda. Warranty work continues to increase due to the number of new vehicles sold in recent years, requiring warranty service and an increase in the warranty recall campaigns by manufacturers. Recent examples include the Tundra and GM engine recalls. Ford recently announced a recall of up to 850,000 vehicles. Wrapping up the U.S., let's shift to SG&A. U.S. adjusted SG&A as a percent of gross profit decreased by 265 basis points sequentially to 64.2%. We are seeing the benefits of our refocusing efforts on operational efficiency and resource management to bring these metrics in line with recent historical levels. Turning to the U.K. Acquisition activity led to a 96.9% and 109.6% increase year-over-year in revenues and gross profit, respectively. We are pleased with double-digit growth in gross profit on a same-store basis with used vehicles, parts and service and F&I growing 16%, 12% and 28.7%, respectively. Same-store retail used vehicle units sold increased over 8% year-over-year, while GPUs remained relatively flat. Same-store wholesale losses per unit improved to $414 from $842 compared to the prior year quarter, respectively. Aftersales is continuing on a positive growth path with a 2.4% increase in same-store revenues on a constant currency basis and almost 6% increase in same-store gross profit on a constant currency basis over the prior year quarter. Same-store adjusted SG&A as a percent of gross profit increased 216 basis points versus the prior year quarter. However, on a year- to-date basis, adjusted SG&A as a percent of gross profit was 78.6%, an increase of only 70 basis points. Reported adjusted SG&A as a percent of gross profit was 84.3%. However, on a year-to-date basis, adjusted SG&A as a percent of gross profit was 81%, near the 80% expectation we believe achievable. Effective April 2025, the U.K. government increased the national minimum wage for employees and national insurance for employers. This increase resulted in approximately $4 million of additional costs in the second quarter or 1.9% in additional SG&A as a percent of gross profit. To date, we have removed approximately 800 headcount from the U.K. business, lowering our overall cost and reducing the exposure to these government-imposed increases. We will continue to focus on cost control and business process efficiency as we execute our business integration activities in order to offset some of these increases in employee compensation. We incurred $7.6 million of restructuring costs in quarter 2 2025 in relation to our ongoing U.K. restructuring plan. Turning to our balance sheet and liquidity. Our strong balance sheet, cash flow generation and leverage position will continue to support flexible capital allocation approach. As of June 30, our liquidity of $1.1 billion was comprised of accessible cash of $374 million and $739 million available to borrow on our acquisition line. Our rent-adjusted leverage ratio, as defined by our U.S. syndicated credit facility, was 2.72x at the end of June. Cash flow generation through the second quarter of 2025 yielded $350 million of adjusted operating cash flow and $267 million of free cash flow after backing out $83 million of capital expenditure. This capital was deployed in the quarter through a combination of acquisitions, share repurchases and dividends, including the acquisition of $330 million in revenues, $45 million repurchasing approximately 115,000 shares at an average price of $387.39 and $6.5 million in dividends to our shareholders. As of June 30, approximately 60% of our $5.2 billion in floorplan and other debt was fixed, resulting in an annual EPS impact of about $1.31 for every 100 basis points increase in secured overnight funding rate. For detail regarding our financial condition, please refer to the schedules of additional information in our news release as well as our investor presentation posted on our website. I will now turn the call over to the operator to begin the Q&A section. Operator?
Operator: [Operator Instructions] And your first question today will come from Rajat Gupta with JPMorgan.
Rajat Gupta: Good results. I had one question on the new car GPUs. A pretty strong pickup sequentially here in the quarter. Could you give us a sense of how those GPUs progressed through the course of the quarter? Maybe like how was April, May, June, before averaging out to the [ $2,665 ] that you reported for the quarter? And I have a quick follow-up.
Daryl Adam Kenningham: We can get you a little more detail on that after. But we -- they were fairly strong all quarter. We didn't see a spike due to necessarily any change in inventories or any change in manufacturer incentives support or anything like that. So they stayed fairly strong through the quarter.
Rajat Gupta: Understood. And just -- I just had a couple of like clarifications on the U.K. It looks like you took up your cost-out target there from GBP 22 to GBP 27 for the full year, just comparing the 2 slide decks. Could you -- is that primarily to offset some of the government imposed cost increases? Or are there like other changes you're making just in light of just the weak macro backdrop there? And just had one more quick follow-up on U.K.
Daniel James McHenry: Rajat, it's Daniel here. We expanded, I guess, some of our headcount reduction. The headcount reduction now today is looking circa 800 people. That's higher than we initially projected. A couple of reasons for that is that we have decided to close a couple of additional stores that are very close to other stores of the same brand that we have.
Daryl Adam Kenningham: Rajat, this is Daryl. I just confirmed on the new car PRU in the U.S. There wasn't any spike between the months. It was fairly even. April was actually pretty good, but May and June held up very well. So pretty flat through the quarter.
Rajat Gupta: Understood. And just lastly, just on the parts and services business in the U.K., pretty strong constant currency growth there. 6%. Given the productivity improvements, you're starting to see at Inchcape. Any color you can give us as to the expected run rate here on that into the second half, maybe early next year? Is this a sustainable number? Could it accelerate further? Any color there would be helpful.
Daryl Adam Kenningham: We believe there's more room to run in the quarter. We added 8% more technicians to our technician base. And the increase that we saw in aftersales, there was actually a decline in warranty in the quarter in the U.K. That was more than offset by a higher increase in CP of 8%. We do have opportunity to increase our customer count, Rajat. There's a lot of that increase that we saw was per RO dollars. And so what we are focused on is trying to drive more car count, especially since we have 8% more technicians to be able to accommodate it.
Operator: And your next question today will come from Daniela Haigian with Morgan Stanley.
Daniela Marina Haigian: So parts and service tends to be a ballast for Group 1. You see continued strength, customer pay, margins up, technician headcounts up. But thinking out the next 1 to 3 years or so, what are the key puts and takes to think about the top line? You have, on one hand, vehicle unaffordability weighing on SAAR, which can increase mileage, create demand for reconditioning, but it also may limit the origination of newer cars that tend to have that stickiness on the service side. So what are the critical vintages to look out for? And how can Group 1 navigate that period of turbulence?
Daryl Adam Kenningham: A key to growth in the next 3 years in aftersales, Daniela, in the U.S. specifically is us reaching deeper into the owner base in terms of people who have owned their cars longer. And we have to be able to increase our share of that market. So call it, 4-plus years of ownership and we need to be able to reach into that market deeper, penetrated deeper, increase our penetration there, increase our spend there. Ways to do that are -- we're looking at our -- make sure our labor rates are attractive to that customer segment. It's a sensitive customer segment on pricing. So we have to make sure that we're attractive. We have to make sure that we're not overpriced for what they're looking for. And then also the restructuring of our marketing at Group 1 to where we're now using first-party data, we know more about those customers than we ever have. And so our focus and I think success moving into the years ahead is going to be how do we reach out to those customers who've owned their cars longer than 3 years. And that's what we're putting a lot of focus on right now.
Daniel James McHenry: Daniela, just to add -- it's Daniel here, just to add to what Daryl said. The average car coming into our store, a 2022 vehicle versus the 2019 vehicle, which is the average age -- average model age of a car within our store, it's over 1/3 higher, the average RO value that we get from that vehicle. So it's slightly important that we keep those within our ecosystem.
Daniela Marina Haigian: Got it. Makes sense. Second question is around the used business. Large online-only retailer growing volumes 50% year-over-year in the market. They're pushing for 3 million used cars sold annually in the next 5 to 10 years. I know it's an incredibly fragmented market. How do you view the competition from the likes of these online pure-play retailers? And is there greater opportunity to grow and consolidate in the used business?
Daryl Adam Kenningham: There's probably opportunity to consolidate. Yes, agreed. We try to learn from those online retailers. They're great competitors, especially in the shopping process. And those are things that we pay attention to and try to learn from. We feel like, at least today, we still have tremendous opportunity to grow our used business inside our footprint of our stores today, especially as used car sales become more digital and they're as digital as part of our business today. So we feel like we can still grow inside of our footprint. We have grown. If you were to look at our used to new ratio 5 years ago, it was much less than it is today. And we've improved our used car performance, but there's still room to run. And I think you're right. I think those digital retailers are proving that.
Operator: And your next question today will come from Federico Merendi with Bank of America.
Federico Merendi: So we've heard that OEMs for model year '26 may take some of the feature that in prior model year were basically standard and put them as optional. So basically, there will be a higher price to get the same features of last year vehicle. What have you seen on your order sheet so far?
Daryl Adam Kenningham: Federico, this is Daryl Kenningham. Yes, they're just announcing 2026 contenting and some in pricing. And some are still waiting to see what happens with the tariffs. I mean the Japan announcement this week, and there's still not enough specifics around it, I don't think, for the OEMs to make pricing decisions. But we -- and then Europe is supposed to be finalized very soon. We don't -- what I -- what we believe will happen, and I think this will absolutely happen is you will see OEMs play with trim levels, contenting, repricing price walks between grades, things like that to optimize margins and reduce the impact of the tariffs. So what you stated in your question, I think, is absolutely true, and I think that will happen. And then standard equipment may become optional in the future in order to keep the base car more competitively priced.
Federico Merendi: And my follow-up would be on parts and service. So you did a great job to increase your headcount. So I was wondering for every 1% of incremental headcount, what's the translation into earnings or like gross profit for every technician that you had to your headcount basically?
Daryl Adam Kenningham: Well, we can get you some more detail around it. But generally, at Group 1, how we look at a technician, they're worth about $15,000 in gross profit per month average across our brands. Some brands, it's more, some brands, it's less. But when we can put a technician in a stall and have them work for a month, that's like another $15,000 in gross profit. And that's how we kind of look at our cost. We look at the cost of not having a technician rather than the cost of what it costs to acquire a technician. So -- and Daniel can give you some more depth on that later today, if you like.
Operator: And your next question today will come from Michael Ward with Citi Research.
Michael Patrick Ward: How do the BEV mandates in the U.K. affect your growth? What happens there?
Daryl Adam Kenningham: A lot of the BEV volume, Mike, is going into corporate fleets. If you were to look at the retail mix of -- the BEV mix and just the straight retail consumer, it's like 10%, 11% of the mix. If you look at it in the corporate fleets, it's much higher than that. And it blends out at like 26% today. And when we sell cars to the corporate fleets, we still make positive margin on it, but it's less than what we make at retail. And so as long as there's all that -- it's kind of like in the U.S. when they're putting a lot of BEVs and rental car service right now, it's similar. So it's just corporate fleets there, and it drives the margin down as a result.
Michael Patrick Ward: Okay. You made a few more acquisitions in 2Q. What is the environment like out there? Are there big lumpy acquisitions out there? I mean the Herb Chamber is one that Asbury took was a big chunk. Are there any big acquisition opportunities out there, do you think? Or is it going to be more tuck-ins that we're seeing?
Daryl Adam Kenningham: Well, I think -- as a general statement, I think there will be -- in the next few years, there will be larger ones. And up to right now, the year has been fairly quiet because of the uncertainty. It feels like in the last couple of weeks, there's a little more activity. We're starting to see some more inbound here, I mean, literally in the last few days. So we'll see if that is a blip or a harbinger of it getting more active, we'll see. I'm not sure yet.
Operator: And your next question today will come from Jeff Lick with Stephens Inc.
Jeffrey Francis Lick: Congrats on a great quarter again. So I was just kind of curious, this quarter, the metrics were a little more variable if you were -- if you try to predict all these. If you look at new gross new units, service and parts used, I'm just kind of curious, as you -- which ones surprised you the most? And as we look into Q3 and Q4, which ones kind of are sustainable and kind of predictive for our models and which ones might tail off?
Daryl Adam Kenningham: Well, I wouldn't -- we were really pleased with the aftersales performance in both markets. I cannot tell you that we would expect to maintain what was a 13% customer pay growth on an ongoing basis. Generally, we plan for mid-single digits, maybe high mid-single digits on that. So that -- I wouldn't lean on the current aftersales growth like it is. And when you look at the warranty numbers, they won't be 31% in the quarters ahead, I don't think. It might be great if they are, but we wouldn't -- haven't planned on it. So I think there's resilience in the -- and I'll ask Pete to comment on this, especially on new cars and F&I. But on the new car side, I think there's resilience in the new car margin, Jeff. It just -- it's held up now for a year. And doesn't seem to be weakening. And the days supply in total anyway is still reasonable and the OEMs seem to be managing that well. And Pete may have some comments on F&I and used cars in terms of...
Peter C. DeLongchamps: Sure. Jeff, I think that -- I wouldn't say that we were surprised. We've got our processes in place. The team is in place, and I think we've executed on the strategy that we've laid out to you over the last few years. So -- the demand is still there for use. Acquisition is very difficult. And we ended the quarter with a 31-day supply. So we were consistent there. And then I think if you look at the F&I when -- whether it's the revenue that we're getting from the finance piece of the business and along with our increased margins or increased percentages on product, it turned out to be a great quarter for us. So I think there's still demand out there for used and facilitation of finance and insurance.
Daniel James McHenry: It's Daniel. The only thing I would add around SG&A in U.K., in particular, there wasn't a plate change month this quarter. So I'd expect SG&A as a percent of growth to come down slightly in quarter 3 versus quarter 2 just because of that additional growth.
Jeffrey Francis Lick: And then just a quick follow-up. The lease return issue, obviously, this year, down below $1 million, it looks like they're down 30%, 40% year-over-year. That should flip depending on what the buyout turn in rate is next year, but it's going to be up. That should be a good source of traffic. I don't think necessarily focused on 2026 that much given what's going on in 2025. But if you could just speak to how you guys think lease turn-in issue, how that plays out and what effect it has in 2026?
Peter C. DeLongchamps: I think it's going to be very -- Jeff, this is Pete. It's difficult to forecast that because you don't know what the equity situation is going to look like next year. And it could be very good on especially the ICE vehicles. I think the wildcard on that is what the BEV lease returns look like. But with the situation with acquisition and availability, we are taking as many off-lease vehicles as possible. And I think that will continue through next year depending on pricing.
Operator: And your next question today will come from David Whiston with Morningstar.
David Whiston: I was just curious on the divestiture of those 2 U.K. Mercedes stores. Is that more of a geographic reason, a factory reason? Or are you not happy with Mercedes prospects in the U.K. going forward?
Daryl Adam Kenningham: We're very happy with Mercedes-Benz in the U.K. We're the largest Mercedes retailer in the U.K., and we're happy about that. And we have a terrific relationship with the OEM. There was some -- in those 2 cases, those stores were closer to other stores that we owned and just in partnership with the OEM. We closed those, consolidated them into another point. So no dissatisfaction whatsoever from us for Mercedes-Benz or their agency model. And Daniel may have something.
Daniel James McHenry: Yes. The one store in particular was only 7 miles away from another one of our stores. And we're actually going to redevelop that store into a larger store in the coming future. So we see some cost benefit from that, and we don't expect to lose any of our customer base.
David Whiston: Okay. And just curious if your Toyota inventory is abnormally too low given any reluctance by them to export vehicles from Japan right now?
Daryl Adam Kenningham: Well, it's low. And basically, what we have is Tacomas and Tundras. Would we like a little more? Yes, we probably would, but we're okay with tight supply at Toyota. That's for sure.
Operator: And your next question today will come from Ron Jewsikow with Guggenheim Securities.
Ronald John Jewsikow: Yes, nice quarter. On the U.K. SG&A piece, Daniel, I think you mentioned $4 million of higher costs related to required national insurance contribution changes. Was there anything else noteworthy this quarter? Because I know you've kind of had this ongoing integration effort post Inchcape and cost savings underway, but dollars were up more than that $4 million sequentially despite lower gross profits.
Daniel James McHenry: When I look at the dollars, I think some of it is January and February is generally a lower cost base. And it's kind of more even in quarter 2. The expectation always was that we would be slightly above 80%. SG&A as a percent of gross on the basis on an annualized basis, we expected it to be closer to 80%. But there's nothing really unusual in there apart from the increases in national insurance and national minimum wage.
Ronald John Jewsikow: Okay. No, that's super helpful. And then on parts and service slack, just kind of if warranty slows, and I understand there are probably structural tailwinds for warranty going forward. But in the event warranty work slows, just trying to stress test our model. Are you confident there's kind of enough built-up demand from customer pay to offset if there is a slowdown in warranty work? Or how should we think about the 2? I don't -- I'm just not sure if you're wall-to-wall in your service departments right now or how to think about that?
Daryl Adam Kenningham: I don't think we can cover 31% increase in warranty with CP, but we think there's still room to improve CP. And as we look back on prior quarters where warranty was lower, we were able to deliver CP growth there as well. So I can't tell you be dollar for dollar. But we certainly think there's room there. And we generally feel like capacity is the key to driving aftersales growth.
Operator: And your next question today will come from Bret Jordan with Jefferies.
Bret David Jordan: On U.S. GPU, I guess you saw a $29 lift in comp. Does that -- was that pulled forward? Or is that -- was there a demand surge around Liberation Day? Or do you see used GPUs sort of able to stable or expand from here?
Peter C. DeLongchamps: I think, Bret, if you take a look at our trend, it's been pretty consistent on the used, and I would expect that to continue. It's -- in the used business, it's all about the acquisition and our team has done a spectacular job of navigating whether it's trades, auction purchases or outside purchases. So I think from a gross profit standpoint, it's been pretty consistent over the last year.
Bret David Jordan: Okay. And then I guess, parts and service, can you sort of carve out how much was the benefit of CDK? Sort of obviously, late in the quarter last year, there was very little parts and service.
Daniel James McHenry: Yes. For us as a company, I think whenever we made our earnings call last year, we said that the effect of the CDK for parts and service, specifically was about $12 million in terms of our pretax income. So I would run that kind of estimate, Bret.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines, and have a great day.